Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service Second Quarter 2024 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Brad Fedora, President and Chief Executive Officer of Trican Well Service Limited. Please go ahead, Mr. Fedora.
Brad Fedora : Thank you very much for joining us and good morning everyone. First Scott Matson, our Chief Financial Officer will give an overview of the quarterly results and then I will provide some comments with respect to the quarter, current operating conditions and our outlook for the future. We'll then open up the call for questions. So we have several members of our executive team here in the room and are available to answer any questions that anybody may have. I'll now turn the call back to Scott.
Scott Matson : Thanks, Brad. So just before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward looking information section of our MD&A for Q2 2024. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to our 2023 Annual Information Form for the year ended December 31, 2023, for a more complete description of business risks and uncertainties facing Trican. This document is available on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our Q2 2024 MD&A. Our quarterly results were released after close of market last night and are available both on SEDAR and our website. So with that, I'll do a brief summary of our results for the quarter. My comments will draw comparisons mostly to the second quarter of last year, but I'll also provide a bit of commentary about our quarterly activity and our expectations going forward. Trican's results for the quarter compared to last year's second quarter were generally stronger due to a busier and less severe spring breakup. We saw an increase in operating activity compared to last year as some of our customers completed their programs that they had previously deferred from Q1 of 2024 and other customers accelerated some of their programs that were scheduled for the second half of 2024 in order to mitigate some of the potential water -- summer water constraints and access concerns regarding seasonal forest fires that they've experienced in prior years. Revenues for the quarter were $211.8 million with adjusted EBITDA of $40.7 million or 19% of revenues both up approximately 20% from last year. Adjusted EBITDAs for the quarter came in at $45.2 million or 21% of revenues to arrive at EBITDAs. We had back the effects of cash settled share-based compensation recognized in the quarter to more clearly show the results of our operations and remove some of the financial noise associated with the changes in our share price as we mark-to-market these items.On a consolidated basis, we continue to generate positive earnings generating $16.2 million in the quarter which translates to $0.08 per share both on a basic and fully diluted basis. Trican generated free cash flow of $20.9 million during the quarter. Our definition of free cash flow is essentially EBITDAs less non-discretionary cash expenditures, which include maintenance capital, interest, current tax and cash settled stock based comp. You can see more details on this in the non-GAAP measures section of our MD&A. CapEx for the quarter totaled $25.9 million, split between maintenance capital of about $14 million and upgrade capital of $11.9 million. Our upgrade capital was dedicated mainly to the electrification of ancillary frac equipment and ongoing investments to maintain the productive capability of Trican's active equipment. Balance sheet remains in great shape. We exited the quarter with positive working capital of approximately $148.4 million including cash of $36 million and as anticipated our cash position decreased compared to year-end with some of the major factors as follows: Working capital decreased by $4.8 million as working capital unwound combined with the effects of spring breakup on operating activity; tax payments were a combined $49.6 million, and I would note that $36.4 million of that related to our 2023 Tax Bill that was outstanding, which we telegraphed throughout 2023. The remainder related to our ongoing installment program for 2024. NCIB funding was $43.8 million during the year, $27.2 million of that during the quarter and our dividend payment was $18.3 million in the year, $9 million for this quarter. With respect to our return of capital strategy, we repurchased and canceled 6.2 million shares under our NCIB program in the quarter and subsequent to Q2 of 2024, we purchased back and canceled an additional 2.4 million shares and continue to be active with our buyback program as we move towards its renewal in October. As noted in our press release, the Board of Directors approved a dividend of $0.045 per share reflecting approximately $8.6 million in aggregate payment to shareholders. Distribution is scheduled to be made on September 30, 2024 to shareholders of record as of the close of business on September 13, 2024. And I would note that those dividends are designated as eligible dividends for Canadian income taxes, income tax purposes. So with that, I'll turn things back to Brad.
Brad Fedora : Okay, thanks. My comments will include the quarter and then current and forward-looking observations and will be quite similar to our last conference call as not a whole lot has changed since May. Overall, Q2 went better than expected. We continue to be pleasantly surprised that our customers continue to level load their programs throughout the year. I actually expect our past experiences with Q2 breakup is a thing of the past. And I think it's reasonable to expect that in the future the second quarter will generate positive earnings in our industry which is a refreshing change and then will in exchange we'll see more of a slowdown at the end of Q4 in and around Christmas. As always, there was lots of weather and spring thaw delays throughout the quarter, but nothing that wasn't typical. And overall, like I said, the quarter went very well. Certain of our customers moved Q3 work forward into Q2, to avoid potential water restriction issues that are just the result of ongoing drought conditions in Western Canada. And so that was a significant help to our quarter, but this will come at a cost to our Q3 results. So the work does move around from quarter-to-quarter that's nothing to be concerned about. Frac revenue was up 30% year-over-year and EBITDA in that division was up over 50%. So a very successful quarter in our frac division. In general, I would say cost inflation has basically stopped or is very muted in fact. There are pockets of -- there are areas where we're starting to see some of our costs actually decrease. So that's a welcome change to the past few years and that helps offset a lot of the pricing pressure that we've been experiencing over the last six months. We're still operating 7 frac crews. We commissioned our fifth Tier 4 fleet earlier in the year which was designed to operate in the Duvernay and the high pressure areas of the Montney. I think we still are taking a very disciplined approach to the basin and we are operating about 60% of our total horsepower compared to our competitors that are running full blast. We continue to take a disciplined approach to the industry and we will bring back equipment as required, at a time when we think we can generate return on all of the hours that it's operating. Our fracturing operations continue to be almost exclusively focused in the Montney, Duvernay and Deep Basin and I don't expect there'll be a lot of changes there in the next few years. The Cement division is continuing to operate with high utilization and is generating great results. Q2 was another good quarter for that division. And it's an indication of our expertise in our leading market position in that service line. I think we generated 4% higher revenue and 10% higher EBITDA in Q2 of this year versus 2023. And that's just really a result of the quarter being more active in the industry as a whole especially in June. We hold about a 50% market share in the Montney, can be as high as 80% in the Deep Basin and we continue to look at expanding our Cement division market share throughout the basin and back into some of the areas that we've previously had to vacate just due to manpower issues. A lot of the manpower problems that we've had with this division in the last few years have really been mitigated here in the last year or two. And we can starting to look to expand this division as we're able to add qualified staff. And we continue to invest in technology and equipment and look at new blends for the different parts of the basin. And we continue to expect this division will perform very well in the future. On the Coiled Tubing side. We're making good progress in the Coiled Tubing division. We've been focused on growing our market share. We continue to operate only 7 coil crews. So there's lots of room for growth here. But we did grow our revenue about 18% year-over-year, but we're still struggling with profitability given the scale of this business. And then we need to really grow the number of units that we're operating in order to realize the profitability potential of that division. We have good field margins, but overall the scale is just not high enough to offset some of the fixed costs that are associated with operating coil throughout the basin providing different coil sizes to our customers in any areas that they may want. But we expect that this will be generating attractive financial returns within the next year. We're looking forward to our -- I think we have discussed this in the past, we're looking forward to the start of our strategic partnership with Atos, which is a specialized tool company, and that should also help grow our market share in the oilier sections of the basin, particularly where there's multilateral well designs. And this is a reentry tool that we are going to be using to go back into these wells to evaluate and hopefully increase production from some of these shallower oil wells. And this is a market we're not currently active in at all. So it's all additive to this division. We're essentially at an inflection point in this -- in the coil division. If we can add a few more units, we can significantly increase our profitability. Outlook for the second half of 2024. We expect the second half to remain busy, especially given where we are with natural gas prices year-to-date. The financial discipline that's been displayed by our customers in the last few years is really showing in the reduction of volatility that we've had from quarter-to-quarter and year-to-year. And with customers only spending about 50% of cash flow, it gives them a really good buffer to sort of look through these temporary commodity price dips or weak periods of weakness. And they continue to operate, I would say, on a very level loaded, thoughtful basis. And so we expect this year to be, maybe not quite as strong as last year, just due to gas prices, but we still expect the second half of this year to be busy. We will continue to monitor the forest fire activity and the drought conditions, and this really hasn't played out nearly to the extent that we thought it might even a few months ago. The water issues were basically restricted to certain areas of the basin. We do have active forest fires this summer as we have in the past few years, which can push work around, we may have to abandon certain areas for a short period of time. But the work doesn't go away. It just moves to a different month or a different quarter. And we'll just continue to monitor and make sure that our staff is safe, and we're not getting in the way of forest firefighting activities. But generally, it's just a waiting game and as the summer comes to an end, we'll get back to normal. Fortunately, the strip for natural gas for this winter and throughout 2025 is still at economic levels. So we're not expecting this natural gas price weakness to last forever. And as a result, with the gas prices, as always happens, we do experience some pricing pressure, but it really hasn't been terribly significant. And we expect to continue to generate good operating results going forward. Montney will be the focus of our operations. The Duvernay is building momentum. It's very fracturing intensive. And I'll talk a little bit about that again, because our customers are excited from the results of this play, both in the southern and in the Kaybob areas. We've been very active. The well results have been great. We expect this to be a growing source of demand for our services. The Duvernay currently represents a very small percentage of production and activity in Western Canada, I think it's less than 5%. And we think that our fracturing technology, particularly the last Tier 4 fleet that we activated earlier this year, is very well suited for these plays, high pressure, low emissions, small footprint on location. On the corporate strategy side, our priorities have not changed. We want to build a resilient, sustainable and differentiated company, invest in high-growth, profitable opportunities to ensure that we continue to generate returns for our shareholders. And we want to provide a consistent return of capital to our shareholders as well through the dividend. And even though it may be slower than expected for the next few quarters. We're still very bullish on the industry in Canada. We view Western Canada as an attractive basin to develop and grow our business. As everybody knows, the LNG export potential -- LNG export capacity continues to build momentum. And you've seen that in the rig count, even though we've had weak natural gas prices for the last sort of 6 to 9 months, you really haven't seen a whole lot of change to the rig count. In fact, it's essentially flat year-over-year. We still believe that Canada is going to play a very important role in providing the world with cleaner, more sustainable energy. The demand is growing from places like the Asia part of the world. We expect that our LNG facilities will continue to grow and will become an important part of the equation for many parts of the world when they're thinking about how to get clean, reliable energy. We expect that LNG drilling will stay active. It's been active now for the last sort of year or two. We're expecting the first cargoes of LNG to leave the West Coast late this year, early next year, and that provides a great foundation of activity that this basin has never really have. LNG Phase 1 represents about 11% demand growth for Canadian natural gas and Phase 2 double that capacity. On the oil side, TMX expansion is now operational. I think it will get to maximum capacity in the next sort of 18 months. But it's -- for the first time now, we have more of an outlet for our oil, reducing differentials and expected price volatility of Canadian oil prices. So everything is coming together nicely. Our customers are still only spending about 50% of their free cash flow in drilling and completions and their balance sheets are in great shape, and so as ours. We've maintained a clean balance sheet for the last few years. as we've executed our strategic plan and we'll take advantage of any investment opportunities that we find that will provide superior returns. On the sand logistics side, we've discussed this for the last few years that we think logistics is growing and its importance. And we think it will play an ever increasing role in operating efficiency and profitability, in particular in our fracturing operations. The July 25, we made a press release that we had entered into a strategic partnership with Source to develop the sand transloading facility in Northeast B.C., which will service the Montney play, which is the source gas for LNG. And this partnership will benefit Trican from both a strategic and a cost perspective. Most of the sand we currently use in Northeast B.C. and the Montney is moved by truck from terminals in Grand Prairie, resulting in 8- to 12-hour round trip trucking time for each of these sand loads. This new facility will allow the sand to be picked up or will allow it to be railed to Northeast B.C. to a town called Taylor, will allow us to pick up the sand significantly closer to our customer sites, cutting our trucking time by as much as 50%. And because of trucking times are reduced, it allows us to use more of our internal trucking resources and less third-party resources allowing us to keep that margin that we earn on our -- in our trucking division. And Kurt Logan, Jim Rukin have done a great job building our internal trucking division. And we continue to expect more good things coming from that. We've grown that division now from about 60 to about 80 trucks in the year-to-date, which has been a big help to improving profitability in our logistics system. This is really important when you think about what's happening from a frac intensity perspective because the strategic value of being able to have sand in Northeast B.C., when you've seen sand volumes grow as much as they have in the past few years on a per well on a per-stage basis. Even two years ago, the basin was only utilizing about 6 million tons of sand and now we're well over 8 million tons this year. Some of these wells that we've discussed previously, you're using 50 to 100 rail cars of sand. So anytime you can take 6 hours of logistics time out of the equation, you're drastically increasing reliability, especially in the winter months. And it's a big advantage to our customers to have that transload facility in Northeast B.C. On the equipment side, we continue to differentiate ourselves, further refining our low emission fleet and working towards our 100% natural gas-fueled operations goal. We're the only company in Canada right now that's using electric equipment. It's been very well received. We've added our electric storage system, which is basically a battery system for redundancy on location. It's working flawlessly and provides a great and lower total energy consumption on location. We're very happy with the performance of the equipment from an R&M perspective. The two sets of electric equipment we have today of have now had a few hundred thousand tons of sand put through them with great reliability. The R&M is down considerably when we compare it to conventional equipment, and we expect to activate our third set of electric equipment this fall. When you combine the electric ancillary equipment with the Tier 4 pumps, we're now getting substitution rates as high as 85% on location, with natural gas versus diesel. And the price differential between natural gas on an energy equivalent basis compared to diesel is significant. Natural gas is very abundant in Canada. It burns cleaner and on an energy equivalent basis is about tenth of the price. So we expect that the industry will trend towards 100% natural gas-fueled operations, and we view ourselves as a leader from an equipment perspective in Western Canada. I'll finish up with just some comments on investments and return of capital. We continue to generate significant free cash flow and we maintain our clean balance sheet. And we do subscribe to a diversified return on capital strategy through a combination of the base level dividend and the NCIB that we've been active in with over the last few years. But as an oilfield services company, we do experience some swings in our working capital and cash balance. And as a result, we've had some comments that our cash balances have been high at times and it's not an efficient way to operate our company. But between CapEx, dividends, the transload investment, the NCIB -- we expect to spend more than 100% of our free cash flow this year. In fact, we expect to outspend our operating cash flow by about $80 million. However, we did start the year with a balance of $88 million of cash, so we should finish 2024 fiscal year essentially cash neutral. So we do ask for some patience, you do see some swings in our cash balance from quarter-to-quarter and year-to-year, but it all makes sense in the long term. We're not afraid to temporarily dip into our bank lines when we find attractive investment opportunities. We will continue to be active in our NCIB program at the right price. I think in the second quarter of this year, we purchased 6.2 million shares. And then since the quarter end, we've purchased an additional 2.4 million shares. We hope to complete our program by early October this year. When you look at the last 12-month spend on the NCIB, it's close to $100 million. So we'll continue to spend capital on NCIB, but we will evaluate that in the context of our other investment opportunities. We're always looking for the best possible returns for our shareholders, and we'll allocate capital accordingly. And today, that has included buying our own shares. But we are seeing more organic growth opportunities that we may be pursuing in the future. And I'll just close off with our dividend. And I think Scott had mentioned, we did have a dividend price or dividend increase early this year. And we expect that at the end of this year, we will review the results from our NCIB. And we may make adjustments to our quarterly dividend with the target of being we want to spend approximately $35 million a year in aggregate dividend dividends. And we'll just sort of adjust our per share numbers accordingly to make sure we maintain those levels. So I think I'll stop there, and we'll go to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Aaron MacNeil from TD Cowen. Please go ahead.
Aaron MacNeil : Good morning, guys. Thanks for taking my questions. Brad, you mentioned the second half of the year will be down year-over-year. I guess I'm just wondering how do you think the trend of activity will play out? And I guess I'm wondering, is Q3 going to be weaker and then you see a sort of a pickup in Q4 into the winter drilling season? Or do you see sort of a more typical seasonal pattern where budgets get exhausted and things slow down towards into the holidays?
Brad Fedora : No, I do think it will be more typical. I mean with some adjustments, I guess, to account for things, you've had some projects get pushed around for water availability or temporary restrictions due to fires, et cetera. And so you may see work get sort of pushed from Q3 into Q4. We are hearing some rumblings that some work from Q1 of 2025 could be pulled back into Q4. So I think it will be the typical seasonal pattern with some minor tweaks just due to water fires and individual companies moving capital around. But I don't think that will have a significant impact on it. I think going forward, I think we're going to continue to see strong Q2s, and then a drift off in December, which is great for our industry, right, and the people that work here. It's a welcome change to the activity timing.
Aaron MacNeil : Okay. Makes sense. I guess more importantly, what's sort of the 2025 upside scenario from your perspective? And then more specifically, like do you think you need an eighth frac fleet or a sixth frac fleet conversion with LNG Canada on the doorstep?
Brad Fedora : Yeah. I think both of those assumptions are very reasonable.
Aaron MacNeil : Potential time line for that would look like?
Brad Fedora : Well, the lead time on equipment is still fairly significant. We have -- the equipment that we have part to the site is fully operational. It's not sort of theoretical spreads that require a significant capital investment and a bunch of maintenance work. We can take equipment off the fence and put it into the field as quickly as we can staff it. There won't be any delays there. If you want to convert equipment to Tier 4 or any other technology, you do have to start thinking about that 6 months or so in advance. And we're always looking at that every day. And certainly, I think your instincts are correct. It doesn't take much increase in activity in Canada for us to require more equipment in the field. And we fully expect that if fracturing gear gets added to the Western Basin here that we will be the beneficiary of that. And we are the natural provider of additional equipment. But as you know, we're very disciplined. We will not put out equipment unless we get a return on every single hour that it's operating.
Aaron MacNeil : You sort of insinuated that labor friction had been reduced? Did I interpret that correctly?
Brad Fedora : Yeah. I think in the industry as a whole, the labor constraints have definitely been reduced. And I think that's a result of the fact that the industry has been operating at a fairly level loaded -- or has been fairly level loaded from year-to-year and quarter-to-quarter. And that is a huge appeal to people wanting to come into the industry. On the oilfield services side, the biggest hurdle that we face is the earnings volatility that we would have from quarter-to-quarter and year-to-year. And so I think people are sort of watching their neighbor get up and go to work every day in all four quarters. And there's been no talk of layoffs anywhere in the industry, there maybe than the odd spot here and there. And that's a big change. It wasn't that long ago that there would be layoffs every spring, a lot of changes from quarter-to-quarter and year-to-year. So this is more in line with what people want from a financial planning perspective, and it's helped tremendously, I think. Our turnover is very, very low. We've never seen turnover levels this low before. In the frac division, our turnover is less than 5%. Historically, you would expect it to be at about 20%. I'm talking about voluntary turnover from the staff. So I think it's a good indication that earnings stability and predictability is very helpful in attracting people to the industry.
Aaron MacNeil : Make sense. Thanks, Brad. I’ll turn it back.
Operator: The next question comes from Josef Schachter from Schachter Energy Research. Please go ahead.
Josef Schachter : Good morning, Brad, Scott and the team, I have two questions. Given how tight and the fact that you have the remaining equipment on the side for fracking. Is there any concern about the operators in the states given how weak things are, bringing up equipment into Canada?
Brad Fedora : Yeah. It's always a concern and has been for as long as I've been in the industry, which is 25 years or so. And you do see equipment come and go. There's no doubt about it. I would say the one thing that is working for us is -- the two big players in Canada are Halliburton and Liberty. And from what we understand, and I certainly cannot speak for them, but is their U.S. operations are more profitable than their Canadian operations. And so that -- I mean, that's always helpful. But I do think the LNG opportunity in Canada for the drillers or the frackers is so significant that I think everybody is looking at it. And we expect to compete based on quality of service and quality of our technology. And we're happy to do so, and we're happy to compete in case anybody that wants to come to Canada.
Josef Schachter : Super. And my second question is, can you give us a little more light on the Source Energy deal with the rail and the new facility. Are you guys each going to keep your own customers and the benefit to you, as you said, is rail versus trucking? And what happens if there's new customers? Do you guys compete against each other? Is there any understanding there? Just to get an idea of what might happen in the future.
Scott Matson : Sure. I mean, I won't get into the details of the commercial specifics of it. But suffice to say, I mean, industry in general is going to benefit from this investment. And we would rather be on the inside working through the process but on the outside looking in. One of the positives about working with a partner like Source is that they're an integrated supplier. So they have the sand supply as well as the transload facility and expertise. So I mean, you would think about it that they're bringing that expertise and the operational logistical capabilities to the table to get the sand in the B.C. closer. And we're partnering in there. We're going to benefit from picking up sand in a closer proximity and being able to use more of our own trucks, and together, this will benefit the industry overall.
Josef Schachter : Do you guys use Source for sand at this time?
Scott Matson : We do. We would be a fairly significant customer for most of the sand suppliers through Western Canada for sure. And maybe just kind of a final point on that. One of the big benefits from a Trican perspective is that if you're a large customer in Northeastern B.C. and you want security of supply of your sand coming in, we can provide that, right, through this facility. So we would have significant guaranteed supply on the ground from that facility where our other competitors would not be able to offer that.
Josef Schachter : Super, thanks for the color on that. Much appreciate your thought. Thank you very much.
Scott Matson : You bet.
Operator: [Operator Instructions] The next question comes from John Gibson from BMO Capital Markets. Please go ahead.
John Gibson : Yeah. I was wondering if you could expand on pricing discussions. I mean we've been in the balance here for a few quarters, it seems. And Q1 '25 looks to be fairly active. Are you starting to have more positive discussions around pricing? Or is it still pretty subdued?
Brad Fedora : We are maybe a little different than most in that we've had our customer list, our core customer list, our top 10-15 customers for years. And so we tend to take a more long-term view of pricing in our discussions with our customers are tweaks. And I think everybody sort of understands the direction of the industry and that things are likely to be tweaked up, not down next year. But generally, our pricing discussions are always fairly subdued just due to the long-term relationships of our customer base. So we're maybe not sort of the best person or the best company to ask as to sort of spot pricing, where some of our competitors are maybe more jostling from quarter-to-quarter with an ever-changing customer list.
John Gibson : Okay. That's fair. And also for me, I mean, you mentioned the $35 million in aggregate dividends, the valuation is starting to move up there, and you talked about the NCIB being somewhat price dependent. Wondering if you could alter this level given where your shares are at as well as the free cash flow generating capabilities of the business, or is that number going to be pretty static going forward?
Brad Fedora : Sorry, John, I missed the second part.
John Gibson : Just wondering if that $35 million in aggregate dividends you target will be static? Or just depending if your shares stay at these levels, your valuation stays kind of here, you can slow the NCIB a bit.
Brad Fedora : Well, I'm a shareholder. I would hope the industry would support higher aggregate dividend, annual payments like every other shareholder. And so we look at everything in the context of sort of the next five years and how we view it. So right now, I would say that's fairly -- that level is fairly static. But if there's, what, 6 million- 7 million BCF a day of potential LNG facilities, that could change everything with -- we get more positive FIDs.
John Gibson : Great. And maybe then offline. So I’ll turn it back. Thanks.
Brad Fedora : Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks.
Brad Fedora : Okay. Thanks, everyone, for joining. We appreciate your interest in our company. We will be available for the rest of the day for any questions that you may have. Please just call us directly, and we'd be happy to help you. Thanks again.
Operator: This concludes today's conference call. You may reconnect your lines. Thank you for participating. And have a pleasant day.